Operator: Good day everyone and welcome to American Vanguard’s third quarter financial conference call. At this time I would like to inform you that this conference is being recorded and that all participants are currently in a listen-only mode. I will now turn the call over to Mr. Bill Kuser, Director of Investor Relations, please go ahead sir.
Bill Kuser: Thank you very much. Welcome everyone to the third quarter and nine month 2007 American Vanguard earnings review. Our principal speaker today will be Mr. Eric Wintemute, President and CEO of the company and Mr. James Barry our CFO who will continue on financial matters. Before beginning, we should mention our usual cautionary reminder. In today’s call the company may discuss forward-looking information. Such information and statements are estimates via the company’s management and are subject to various risks and uncertainties that may cause the results to differ from management’s current expectations. Such factors can include weather conditions, changes in regulatory policy and other risks as detailed in the company’s SEC reports and filings. All forward-looking statements represent the company’s best judgment as of the date of this call. With that said we’ll turn the call over to Eric.
Eric Wintemute: Thank you, Bill. Good morning and thanks all of you for joining us today to discuss American Vanguard’s third quarter and our outlook for the future. We appreciate your interest in our company as we continue to build momentum and deliver improved results. Today we want to discuss several topics. First of course we want to describe our quarterly and year-to-date business and financial performance. Second I want to discuss with you two of the more important initiatives over the next several years namely the use of our granular soil insecticides with our proprietary applications equipment and our superior herbicide, Impact, together providing comprehensive crop protection to the corn market. Finally I want to mention other key differentiating factors that we believe will benefit the company’s results and improve our enterprise value. As described more fully in our earnings release, third quarter results were quite positive with sales up 11%, operating income up 32%, and net income up 28%. It is clear that we are realizing the steady improvements that we have predicted from last years challenging environment. Our nine month year-to-date performance also reflects that building momentum and we expect to deliver solid results as we proceed through the balance of 2007 and into the year 2008. As we discussed in previous conference calls, our new products Impact and Counter are contributing significantly to our performance. Bidrin and Dibrom sales have been below normal levels in 2007 because of aphids decline in cotton and limited mosquito infestation in the south coast due to record drought conditions. Now Jim if you would give us more specifics on our quarterly and year-to-date financial results.
Jim Barry: Thank you very much Eric. Once again good morning and good afternoon everyone. As our earnings release announced, and Eric just underscored, net sales for the third quarter increased 11% to $56.6 million as compared to $51.2 million in the third quarter of 2006. Gross profit margins declined slightly to 43% for the third quarter. That’s compared to 44% in 2006 due in large part to changes in the sales mix of the company’s products. Operating expenses as a percent of sales were 25% for the third quarter of 2007 and that’s compared to 29% in 2006 while operating income improved to $10 million from $7.6 million. Interest costs before capitalized interest and interest income were $1.1 million in the third quarter as compared to $700,017 in the same period in 2006 due to higher overall VAT levels and increased interest rates. Net income improved to $5.4 million in the third quarter. That’s compared to $4.3 million in the same period in 2006. For the nine month period, net sales were up 6% to $147.6 million compared to $138.7 million for the first nine months of 2006. Gross profit margins improved to 44% for the first nine months of 2007. That’s compared to 42% in 2006, also due in large part to the changes in the sales mix of the company’s products. Operating expenses as a percentage of sales were 28% for the nine months ending September 30, 2007. That’s compared to 29% in the same period in 2006 while net income was $11.2 million for the nine months as of September 30, 2007 compared to $10 million in 2006. Cash provided by operating activities for our first nine months was approximately $46 million. The company used approximately $5 million in investing activities and approximately $38 million in financing activities during the first nine months. As of September 30, 2007 the company had approximately $74 million in working capital. Our stockholders equity was $132 million and we had total debt of $59 million. We expect to file our form 10-Q timely as usual which is targeted for tomorrow afternoon. I’ll now turn the call back over to Eric.
Eric Wintemute: Thank you Jim. Now I would like to take a moment to talk about our comprehensive efforts to provide crop protection benefit to corn growers through the use of our granular insecticide products, our proprietary application equipment and our superior herbicide, Impact. Over the past few years, corn grower emphasis has been focused on the use of genetically modified seeds to reduce the damage caused to crops by insects such as the corn rootworm and corn borer. By emphasizing biotechnology that’s concentrated on the primary pest it has been felt by many that chemical remedies for a comprehensive pest protection in corn were no longer necessary. As we have discussed previously in order to inhibit the development of resistance in these insects it is important to establish so called refuge acres where a portion of the pest population can survive to propagate future generations that remain susceptible to the genetic defense incorporated into the seed. The requirement has been to set aside 20% of the intended plant area as refuge acres and many growers mitigate pest impact on this portion through chemical applications. Cross licensing of traits may lead to a reduction of the 20% requirement in the future but will not lead to the elimination of refuge requirement. We believe more emphasis will be placed on refuge acre compliance in 2008 and beyond. We feel we are in a strong position to be a major supplier for these refuge acre requirements. The use of our half dozen insecticides and our closed delivery system equipment has given growers safe, effective, and economical control for this critical resistance management effort. Additionally, in certain key corn areas, there is a potential for corn plant root damage to occur as a result of secondary pests that are not specifically addressed by current genetic modifications. These secondary pests such as nematodes warrant a chemical response and are ideally suited for control from such applications with products such as our crop Counter insecticide. In recent preliminary trials, where our corn soil insecticides were used as a supplement to genetically modified planting the resulting root damage was measurably less. We continue to await the season end harvest assessment of corn yields as the official per acre. We have a few preliminary yield results. These results, while too early to draw conclusions, show promise of an economic benefit from the use of our insecticides as a yield boost to genetic trait corn. Over the next few months we hope to quantify an opportunity for American Vanguard. Whether on refuge acres or as a potential adjunct to GMO planting growers will be faced with a choice concerning which chemical insecticide to utilize and which application system with which to deploy it. We believe that our portfolio of owned and licensed granular insecticides provides the most effective chemical treatment when compared to other solid or liquid forms available. Similarly, we believe that our proprietary equipment systems, SmartBox, Lock ‘n Load and Easy Load provide superior application results that are considerably more targeted, more economical, and far safer than other systems available. A combination of the right choice of chemicals and most effective type of application equipment should give American Vanguard the inside track to capturing a significant share of this dynamic business. We are also successfully penetrating other crops with our systems such as potatoes, peanuts, vegetables, cotton and sugar cane. But our service to the corn market does not end there. In order for corn crops to thrive the plants need to access moisture, nutrients and nutrients from the surrounding soil. Contending for those resources we have weeds. Growers now often contend with challenging, tough to control, weeds that have emerged in recent years to partially circumvent the control by widely used glyphosate herbicides. To help them we have demonstrated the utilities of our Impact product to address these species and again complement and add value to the prevailing crop treatment regimen. We expect that Impact will continue to grow in the corn market and as an important tool for weed management. Now let me reiterate several additional points about our strategy going forward. First, American Vanguard will continue to pursue the very effective business model that it has used for many years, namely acquiring or licensing specific products that allow us to fill critical market needs. We find that the opportunities to procure such additional products continue to present themselves and we intend to actively pursue many of them. Based on recent work in this area we hope to be making announcements concerning such product acquisitions in the next couple of months. Second, we want to continue to employ our domestic based manufacturing capabilities to produce our own materials and where appropriate to manufacture for others. Our recent announcement regarding the acquisition from BASF of important production facilities in Hannibal, Missouri underscores this conviction. We believe that such United States production units provide a level of quality assurance, expedited delivery and overall cost effectiveness that is superior to those offered by many offshore producers. Third, we will be looking for growth opportunities in additional world markets where we think that our skills in both products and equipment will allow us to gain meaningful advantage. We might pursue these independently or as mentioned previously we might do some of these international expansion efforts in consort with others. In conclusion I must say that as head of American Vanguard, and Chairman of our trade association CropLife America, I am very impressed by the strengths of the agricultural industry as we enter 2008. As the world demands for food, fiber, and fuel continues to grow, the opportunities for our industry and our company are expanding. The significant valuations being placed on well positioned agricultural chemical companies in recent announced transactions reflects well on the continuing importance of our industry. I believe there is a sustainable demand and global relevance for the crop protection industry to provide for the needs of humanity. I am confident that the actions we are taking to expand on the strength of American Vanguard will position it to be a significant player in this industry’s future and that the ultimate enterprise value of this firm will actively reward the company’s employees and its shareholders. And I’ll be happy to address any questions you may have.
Operator: (Operator Instructions) Your first question comes from Mike Judd with Greenwich Consultants.
Michael Judd: Good afternoon. A question about the mosquito adulticide which was down I guess due to seasonally, due to the weather not being as inclement this year relative to other years. I just wondered if you could provide a little bit more detail on that. In other words, what sorts of magnitude changes were there in volumes? And then I have a follow up question.
Eric Wintemute: Sure, probably the number one state that sprays for adult mosquitoes utilizing our products is Florida and they suffered I think with their, what we’ve understood is, the drought of thirty years that they’ve had this year. Last year wasn’t strong either and we had 2004 and 2005 that were both strong hurricane years and usage of our adulticide was very, very strong. Predictions were strong for storms this year and they just never materialized. Quantifying, we’re talking several million dollars worth of sales. Profits have particularly been better than our average profit margins and most of those sales typically occurred in the third quarter.
Michael Judd: Ok, so from a volume perspective, is it fair to say that sales were down like 20% or so?
Eric Wintemute: Of the Product?
Michael Judd: Yes.
Eric Wintemute: The product was down –I’m trying to think – third quarter I’d say we were - from last year, last year’s third quarter wasn’t particularly strong either but from an average standpoint I’d say the sales were probably down more than 50% of a normal third quarter.
Michael Judd: Ok so the sales were down 50%. So what part of that was volume and what part was price? Or was price up and volume down even more?
Eric Wintemute: Well it’s clearly strictly volume. I mean there was modest price increase but this is definitely a volume issue.
Michael Judd: And then do you actually have a breakout, I know you are going to be submitting the 10-Q tomorrow, but do you have the revenue numbers and the gross profit numbers for both crop and non-crop?
Eric Wintemute: We do. Jim, you want to provide that?
Jim Barry: I certainly will. Are you focused on the quarter?
Michael Judd: Yes please, I’ve got the historical information.
Eric Wintemute: I think on a quarter basis I want to say it’s something like 11% and it’s more typically around 20%.
Jim Barry: Yeah the crop for the quarter was just under $50 million and the balance was non-crop.
Michael Judd: Ok and what about on the gross profit?
Jim Barry: On the gross profit, crop was approximately $21 million, the balance going to non-crop.
Michael Judd: Ok great, thanks for the help.
Operator: Your next question comes from Mark Gulley with Soleil Securities.
Mark Gulley: Good morning guys, I’ve got two or three questions. I’ll get back in the queue. First of all Eric if we exclude the sales growth acquisitions that benefited this quarter that weren’t in last quarter would the organic sales growth be about flattish? Can you help us out there please?
Eric Wintemute: Ok, so I’m thinking the only product that we’re talking about it Counter and so to exclude Counter, you know Counter was in the quarter was just a couple of million so we’re probably, so what are we talking about? 54 divided by 48. Is that correct?
Mark Gulley: That’s 11%.
Eric Wintemute: That’s right. I think we’re 11% before that. I’m sorry, what was the position? I need the [global sales]. So about 7% organic growth, 4% from new product.
Mark Gulley: From acquisition.
Eric Wintemute: Right.
Mark Gulley: Secondly in the press release you do talk about some of the strength on the corn side. And of course Counter's a new product to you, but can you kind of gauge for us the sales gains for some of the key products in the corn belt, and then maybe, if corn acreage is down next year what kind of growth rates could we see next year, given the fact that corn acreage is likely to be down.
Eric Wintemute: Well, we are at 93 million acres this year, and whatever it was, 78 or 89 acres previous. Our penetration, regardless of where the market winds up next year, whether it's 88 million and upward of some projections, but regardless, even at 80 million acres, we've got a lot of penetrating to do. Counter was one time the number one farm soil insecticide. It was basically kind of pulled out of that market, so we've got really a reintroduction to put back into the marketplace. I think it has a strong fit for nematodes, and I think we're looking at now kind of quantifying what might be the most economic blend between genetic and insecticide use, and that's something that we kind of think we're kind of spearheading, as far as what's the true position for insecticides in this dominant genetically engineered market. So, I don't know, Mark, if you're looking for specific numbers, then I'm not...
Mark Gulley: If the penetration is still very low, then it's not an acreage gain, it's a penetration gain, so I understand that, but back to the first part of my question, then I'll get back in queue. Can you highlight some of the sales gains for some of your key products in the Corn Belt, and are you going to reach a 25% of your sales being in corn this year?
Eric Wintemute: On the insecticide line from the beating we took last year, our efforts are to kind of reposition our insecticides into the refuge acre and adjunct, or yield enhancement, to corn. So that is really repositioning our product and shifting forward and so the gains, we do hope for gains in 2008, 2009 continue to grow as that kind of repositioning occurs. In the herbicide, we had substantial gains in '07 versus '06, with Impact, and our performance indicators were great. We had virtually no complaints with the product, it's performed extremely well, and we see a great opportunity for this product to continue to grow.
Mark Gulley: And lastly, are you able to point to where we can find this preliminary data that shows that the efficacy of some of your products on these secondary - either a web site or a link you can refer us to?
Eric Wintemute: Maybe we can put that onto the site. University of Illinois published a paper on the root rating which is available. Nobody that I know of yet has published anything on the yield information, because that’s just starting to come in now. But we can make available the University of Illinois article on root ratings immediately.
Mark Gulley: Thank you.
Operator: Your next question comes from Jay Harris, with Goldsmith & Harris.
Jay Harris: Good morning Eric.
Eric Wintemute: Good morning Jay.
Jay Harris: How much, when you look at the corn insecticides, was that business down again this year versus last year, and if so by how much?
Eric Wintemute: What we don't have is through the whole year yet, so it's difficult to say. We'll have some fairly significant sales in fourth quarter and those will exceed, we believe, fourth quarter sales of '06.
Jay Harris: But, do you have any estimate of how many acres were treated with SmartBox this year?
Eric Wintemute: Yeah, and I think we were just about flat with '06.
Jay Harris: Ok, and if memory serves me right, around September last year, distributors started to indicate that they would not be buying forward on Ag. chemicals in the same way they had been in prior years. What kind of revenues were deferred from the September quarter under this program to buy more closely to grower use?
Eric Wintemute: Certainly there were a couple of factors, the distribution thing. We're loaded to the gills; we want to bring down our inventories. I think most distributors did a pretty good job of that; inventories of our quantum insecticide products in the marketplace are well below where they were at this time last year. There is a fair amount of grower money that has been placed in distributors hands for pre-purchase. We will participate in that for the first time where we will be offering some discount for cash and we've already seen some of our sales in third quarter that are taking advantage of that. So part of what we've seen in the past, interesting what it is, we would like to manage our accounts receivable a little bit better, and we've got a little program to take in some cash. So I don't think the climate that was there last year is quite as bad as this year, and frankly I think distribution, with getting 2007 performance under their belt and specifically, more through the fertilizer than maybe chemicals, but I think distribution is feeling a little bit better about themselves today at this point in the year than they were last year at this time.
Jay Harris: Alright, do you have any kind of assessment quantification, for products that you would have sold in September of this year but because of the way distribution was handling their purchases have slipped over into the fourth quarter?
Eric Wintemute: No, I think our corn soil insecticide is probably, we didn't do much in the third quarter this year, and so we'll probably see more of that in fourth quarter this year.
Jay Harris: How about metam sodium?
Eric Wintemute: Well metam sodium is kind of a (inaudible) position; so third quarter was good, fourth quarter looks good as well. So that's not a position for product usually, per se.
Eric Wintemute: Good enough. Thank you.
Operator: Your next question comes from a private investor. Bruce Winter.
Bruce Winter: Yea, thank you. What was the reason behind your expressed optimism for metam sodium going into the fourth quarter?
Eric Wintemute: Well, potato growers are, as most farmers are, making money so they'll have money to fumigate; there have not been super dry conditions, so there was water available to make applications in the Pacific Northwest. So overall the market this year for metam looks rather strong. We're doing a little better penetration in the foreign markets as well. We're still not there, we have the balance of this month and obviously some sales in December, but our expectations now are that we'll have a pretty good year with metam this year.
Bruce Winter: How did your non-corn, non-soy bean SmartBox applications perform this year?
Eric Wintemute: It performed well, this is a cultural change, we've had some acceptance in the vegetable market in California, in the sugar cane market in Florida, potatoes in the Pacific Northwest, and so a lot of this is reconfiguring the equipment that they've been using but performance wise, I think people are very, very pleased with it. So that's something that we think will just kind of keep building each season in each area and kind of gain more and more, because we don't see any major downsides to it, and we haven't heard any major complaints, so we think we’ve got good opportunity there.
Bruce Winter: Great. Could you give us some insight into your business model for SmartBox and the other pieces, either today and more importantly, where are you trying to take those into the future?
Eric Wintemute: With Easy Load, that new one that we've incorporated this year and I believe we just did receive our first orders for Easy Load with Thimet. We've talked about the idea of maybe in some markets of taking Easy Load, or that concept of, bag-in-the-box and basically incorporating that into the SmartBox system, meaning that it would be the deliverer of the material, but then we would still have the computer delivery system. So I think there's very good opportunity there, we're also looking at the potential of taking this equipment outside the United States, maybe down into South America or over into Europe. We've had some interest as the success has been here. People have looked at the equipment and we've kind of been promoting it on a bigger basis. We're hearing some interest, we don't have any licenses or any specifics per se, but of course we do have lock ‘n load, which is being utilized with both Thimet and Counter outside the United States. So we have great opportunities that we have and we're also trying to perfect with the University of Perdue the use of our seed tooth technology, where the computer delivers the material right with the seed rather than inferable along with the seed and we’re hopeful that over the next year that we'll have something available to commercialize that would allow us to be even more prescriptive in our delivery of not just corn, but our granular insecticides.
Bruce Winter: If all your hardware business was a stand-alone business, would it be a good business?
Eric Wintemute: The way it's positioned today, the way we position it, probably not because we've inherited, I think when we got SmartBox, a little bit of the, "give the razor away and sell the razor blade" mentality, and make your money on razor blades. But we're certainly a little better than that. If someone, if we were to take the equipment business and sell that off to somebody they could probably do something a little more for it, but I think we are probably focused, as it is today, more on our profitability through the ongoing use of our chemicals then we are on the equipment itself.
Bruce Winter: Great. Well it looks like an exciting 2008. Thanks.
Eric Wintemute: Thank you.
Operator: Your next question comes from Mike Judd, with Greenwich Consultants.
Mike Judd: Yes, a follow-up question. In the non-crop area, given the drought in Florida, obviously the weather there stays warm well into December; do you expect that there will be year over year volume impacts in the December quarter versus last year?
Eric Wintemute: '06 sales in fourth quarter last year were fairly small, approximately $1 million, so I don't think there will be much of an impact now.
Mike Judd: So there's not much of a material impact on that. What are some of the others, the figure that I have for non-crop revenue last year was around $6 million, so what are some of the other products in that area. Are there, as we think about seasonality, are there any things we should be thinking about volume-wise, as it relates to the December quarter this year versus last year?
Eric Wintemute: The metaldehyde granules, which is our snail and slug that goes for a non-crop area, and moisture, that's more, the biggest area's in California, that's more of a spring business, but there are fourth quarter sales of that. The PC&B, which is used for turf, I don’t think there will be anything unusual there. So I don’t see that we’re going to have any big impact on non-crop use in fourth quarter.
Mike Judd: Okay, and then, moving over to crop, you know, obviously, corn acres were up huge this year. But I guess in the December quarter in terms of restocking for the cotton business, what are some of the early indications there, in terms of how cotton acreage might look next year? I mean, I think most people are expecting soy acres to be up, corn to be down slightly, but I haven’t heard much about what the outlook is for cotton.
Eric Wintemute: Well, the smart money says that cotton is going to be down next year. You know, myself and our sales manager, director of sales and marketing, are a couple of people that believe it will actually be up some, because there was a fair amount of cotton growers that had planted corn this year, that had their corn basically dry up and not deliver for them. I think it will be a function of cotton pricing. I mean, right now, farmers have a number of opportunities, depending on where they are, to plant profitable acres. So it becomes a function of what’s the most profitable. Soybean prices at $7 or you know wheat up. Cotton, at $0.60, probably isn’t too attractive, which is why a number of cotton growers switched to corn, but there are articles out there about how the demand for cotton on a worldwide basis is very strong going into the year, that inventories are low, and that cotton prices will exceed $1. And if that’s the case, then I think you’re going to see cotton acreage, you know, up from this last year. But yes, I asked that question to all of our peers in other companies, and I believe that most of them believe that cotton will be flat or down next year. I just happen to believe that if prices do go up, that cotton will be up.
Mike Judd: And lastly, I know how difficult it is to forecast what’s going to happen in the middle of next year, so speaking a little bit closer to home here in terms of looking at the differentials. Last year, from September to December in the crop area, there was increase in revenue of almost $9 million. I’m just wondering, as you look at the December versus September quarter, is it possible, given inventory levels, restocking needs, this that and the other, that the magnitude of the increase in revenue sequentially for the December quarter, could be at a similar magnitude, or is that really too much this year?
Eric Wintemute: I’m sorry, I missed the first part. Is your question, will the increase in Q4 be comparable to the increase of which period?
Mike Judd: Last year, from September of ‘06 to December ‘06, those two quarters, there was about a $9 million increase in revenue. And what I’m wondering is whether a similar absolute, you know, $9 million delta from September ‘07 to December ‘07 is realistic this year, given what you said about current inventory levels as well as demand and things like that.
Eric Wintemute: Okay, so when you say September, you’re talking October 1, just the fourth quarter? Or are you talking the third and fourth quarters combined?
Mike Judd: What I’m really saying is last year in the third quarter versus the fourth quarter, the fourth quarter revenue…
Eric Wintemute: Okay, I got you. So you’re saying…so we were at, what, 57?
Jim Barry: The crop portion, I think what Mike is doing, the crop portion for Q4 of ‘06 was roughly $49 million. And I think what Mike is asking is, how will that compare to what we expect this quarter to be, the fourth quarter of ‘07. Is that correct Mike?
Mike Judd: That’s right, and really the factors here are obviously volume, I wouldn’t expect a lot of price. But the issue with last year, I guess, was that throughout the chain there was a need for inventory restocking ahead of what it was expected to be, extremely high corn demand.
Eric Wintemute: Yeah, so you’re saying, in ‘05, in fourth quarter, our crop was around 40, and ‘06, our crop was 49, and then your question is…
Mike Judd: The September of ‘06, which is the third quarter of ‘06, your crop revenue was around $40.8 million. The fourth quarter of ‘06, your revenue was around 49.4. So that’s roughly about a $9 million increase sequentially in the fourth quarter versus the third quarter last year. So we already know that basically the revenues in crop in the third quarter of this year was roughly 49. So the question is, should the revenues in the December quarter increase by a similar magnitude as last year, end up being around $59 million, or are there other circumstances that were specific to last year that led to that big increase in revenues in the fourth quarter?
Eric Wintemute: Okay, I hadn’t looked at it that way. And I’m just trying to think. I don’t want to go out and project our fourth quarter, I’m conservative by nature, but yeah, I would say it’s certainly possible that our crop area might be similar. But I hadn’t quantified it and looked at it that way.
Mike Judd: Well, what would be some of the factors? In other words, volume, low inventory levels, high inventory levels? What are some of the things that we should be thinking about?
Eric Wintemute: Well, I think, as I said, I think our corn soil insecticides in fourth quarter will be up from last year. And as I said, the inventories were lower than where they were last year, and last year I think we had some, we had more corn soil insecticides in the third quarter. As far as, I think again, we’ve offered a program where people buy in third or fourth quarter, they can pay cash and receive a money discount, and I think there’s more cash available this year because of the position where our growers are. So I’m not sure, it’s a little early to see how well that works, although based on some third quarter, people taking advantage of third quarter, it looks like a successful program so far. Now I think as we position, move more SmartBox systems in this quarter, I think that will help stimulate demand, because growers, when they sign up for the SmartBox new system, they sign this three-year contract, and so they’ll usually fairly immediately, particularly if they’re looking to prepay, they’ll contact their dealer and say, you know, I just bought a system, so I’m going to need the following products. So that kind of helps stimulate demand as well. But from your position, sitting where you are, I don’t know that you could look at it, and say, here’s something great. One area would be, if the snowfall hits strong in the potato growing area, that would be, you know Idaho, Washington, Oregon and Dakotas, and they did not have all of their fumigation down yet, and the snow hits heavy, they’ll have to stop. If not, they’ll probably continue to do fumigation, even in December. So that would be another - that could be something you could look for.
Mike Judd: The weather’s been pretty cooperative so far, hasn’t it?
Eric Wintemute: It has.
Mike Judd: Thank for the help.
Operator: Your next question comes from Jim Bartlett, with Bartlett Investors.
Jim Bartlett: Can you throw more detail on the purchase from BASF into the Missouri site? Why you decided to do it, how, the cost of the site, and the capacity of the plant?
Eric Wintemute: Well, the cost of the site was not disclosed. We had negotiated the option for this at the time that we made the acquisition of Counter. We looked at a variety of factors in making the decision to go forward. Essentially this is where both Thimet and Counter have been made, historically, for years, to service not only the U.S., but world markets. We looked at offshore supplies, which had attractive prices. We saw cost increases in China and India, as we see both currency swings, cost of doing business in those countries increasing, value-added tax that was a benefit to Chinese producers that is being eliminated during the 16%. We looked at the raw materials side, and basically, being the commitments from the domestic suppliers of our raw materials, that they would prefer to supply domestically to us, as opposed to transporting to other countries, and so we felt our raw material position was stronger. But maybe one of the most overriding pieces was that at this site, they have the state-of-the-art waste disposal, and that’s incineration. And while that is more expensive to deal with, it is by far the most environmentally sound method of disposing of waste, and we therefore felt that on a long-term basis, we would prefer to have control of manufacturing of these two important products. And we saw great growth potential with both of them. So that, coupled with the ability to look at similar chemistries as well, on a tolling basis, potentially for our sales down the road, led us to conclude that this was the right decision. It is a strategic site, assuming our growth with the corn soil insecticides does go in the right direction, and we position ourselves well with the genetic and refuge. We would probably look to move our SmartBox and delivery system, filling and distribution center, out of Hannibal, Missouri, instead of Axis, Alabama. So for a variety of factors, we think it made sense. Not only were we considering a significant investment on our part into that, however, from a financial standpoint, but we think it’s a long-term, sustainable approach that fits our model.
Jim Bartlett: Okay, what kind of capacity could you run at this time?
Eric Wintemute: They’re currently running at about 33%-35% of capacity. Now in this, we initially, we have an agreement that BASF, and their personnel, will run the facility for us as needed, and at some point, if we desire, we would staff it with our own employees.
Jim Bartlett: And your sales for Counter this year, as compared to last, how would you describe that?
Eric Wintemute: Well, last year, we just had the December month as part of our… But you’re saying as far as BASF sales versus our sales? Is that what your question was?
Jim Bartlett: Yes.
Eric Wintemute: Did I lose you?
Jim Bartlett: No. That is the question.
Eric Wintemute: Oh, okay. I think there is a shift, there were some sales in Europe that we knew when we purchased were not going to recur, yet we’ve picked up sales in corn in the US that they had not had. So our sales are going to be relatively comparable, I believe.
Jim Bartlett: You mentioned in your earlier statement that you were optimistic that better compliance of refuge acres. Why do you have that optimism?
Jim Bartlett: In talking with the genetic seed companies, and we spoke with them, we spoke with the National Corn Growers’ Association, and with EPA, and the feeling that we’re getting is that there will be more effort, which we will participate in, on getting the message out for the need, necessity for compliance with the refuge requirements. So it’s basically through our discretion with those EPA and the seed companies.
Jim Bartlett: And could you talk a little bit more about Impact, how many acres you were on last season and what you are looking forward to in the new season?
Eric Wintemute: Our estimates are somewhere between 2.2 and 2.5 million acres from about 375,000 to 400,000 acres the previous year. We haven’t, and aren’t publicly displaying what our forecast is for 2008, but we do see significant growth for this upcoming year.
Operator: Your next question comes from Mark Gulley with Soliel Securities.
Mark Gulley: Eric can you update us on some of the efforts you have under way to collaborate with some of the majors, either in terms of herbicides, maybe perhaps tank mixes, or collaborating on cross labels for prospect on perhaps corn soil insecticide?
Eric Wintemute: You said cross labels with corn soil insecticides, explain that one, what do you mean there?
Mark Gulley: One of the majors may indicate that it may be good to use your product in conjunction with something they do and vice versa.
Eric Wintemute: We’ve had discussions, but until any sort of agreement is reached at stand preliminary, on our part and we feel comfortable, because you never know until something’s available, but certainly if we do reach an accord with any of the companies for co-promoting the product, we would make the announcement just as when Pioneer, and John Deere, and Ambac collaborated on back in ’06. If something similar were to occur we would put it out in some sort of press announcement, but at this point all out discussions have not resulted in an agreement today.
Mark Gulley: Thank you
Operator: Your next question comes from Jay Harris with Goldsmith and Harris.
Jay Harris: Eric, I’d like to go back to Hannibal, Missouri. By taking ownership of the facility, I presume you get a lower cost of goods sold on Counter and Thimet, and then you have had this year, right?
Eric Wintemute: We don’t have a lower cost of goods sold, we believe it’ll be similar; but what we’re looking at is what we think in the future that we’ll be in a better control of our costs than if we were relying upon third parties.
Jay Harris: And I guess there’ll be some insights given on what you paid for that plan when you file your 10-K for the year?
Jim Barry: Well, Jay, this is Jim, yes there’ll be some insights because most people that are on this call will be able to look at our cash flow statements and capital expenditures for the period and be able to tell roughly what we paid.
Jay Harris: Is the value that you acquired bear any relationship to the value that you acquired when you acquired the Access Alabama facilities?
Jim Barry: I think there are a lot of parallels between the two.
Eric Wintemute: No, it’s not a specific cost, but again it’s a facility, we’re acquiring a unit within, and we’re sharing services, so we saw the opportunities as fairly similar.
Jay Harris: Well I know after you’ve had been operating Access for a while you indicated the replacement value and some idea of what you had put into it. Are those ratios going to be similar for Hannibal?
Eric Wintemute: I don’t know if Hannibal is quite as extensive as Access is as far as replacement, I think because we have, I don’t think we’ve had our insurance assessors go in and make an assessment of replacement cost at this point, but…
Jim Barry: They are scheduled to go in, but they have not gone in.
Eric Wintemute: My guess is that they will find less value there. At Access they put in all the SmartBox equipment in addition to the synthesis side, and the synthesis has a little higher technology than some. This is specific to I’d say a more P2S5 chemistry of which there are a variety of chemicals that fit in that arena and it’s something that we could do at Access. It would require a greater investment than what we’re looking at here.
Jay Harris: What’s your best thinking in terms of free cash flow generation in the fourth quarter, whether that will have more than covered your acquisition cost?
Eric Wintemute: We haven’t done that analysis.
Jay Harris: Ok, thank you.
Operator: Your next question comes from Matthew Gretch with Gretch Capital.
Matthew Gretch: Thank you, I’m trying to get a handle on how you guys are thinking about your organic revenue growth for 2008, and I know there’s a lot of moving parts for 2008, but I’m trying to understand how in 2007 your organic revenue growth is around 7% with a very easy compare considering the toughness of 2006. I don’t want to pin you down to the tenth of a decimal point here, but I’m just wondering how you guys are thinking. Is it on the order of 5% or 20%, I just don’t have a grasp of that and I’m wondering how you guys have talked about this internally for ‘08.
Eric Wintemute: Well I think there are some products that we go through and we say there’s opportunity for growth, and there are others that have probably challenges just to maintain. Now, we would expect IMPACT to grow, we would expect Bidron to grow, we would expect Dibrom to grow, those are, and then I think we can Counter and Folex both have opportunities to growth as well. How successful we are in positioning our corn soil insecticides I think we’ll make a big difference on Aztec, and Fortress, and Force and Lorsban, and that’s probably a little early still to call. We’re seeing some good signs right now, but it’s still a little early to tell.
Matthew Gretch: When you use terms like grow, are we talking about GDP type of growth of GDP plus significantly higher penetration therefore resulting in something like 20% growth?
Eric Wintemute: I think some products have the opportunity to grow more than 20% and others are maybe 5% 10%, I think we have a kind of a draft of a budget by product line. We have historically stayed away from anything other than what we had said, double digit growth which is 10%, and I don’t think we’ve ever really gotten into that growth will be generated on a prospective basis by X% from organic and X% from acquisition growth and I don’t know that we will change that approach in guidance for ’08. I don’t know what would make us do that.
Matthew Gretch: And then lastly, in the release you kind of alluded in very general terms the potential of international growth, can you go into a little more detail there?
Eric Wintemute: Yeah, Mexico has performed real well for us this year. They seem to have really caught stride in moving forward, a couple of acquisitions that occurred that have I think gotten then to a critical point in moving forward, there’s potential for acquisitions that if you make these other acquisitions a number of them have international consequences. We do expect we’re going to be ramping up in ’08 for an ’09 year where we will be managing our own Central American business for both Thimet and for Counter. BASF has been managing or distributing that business for us in Central and South America for 2007 -2008, so we think we’ve got probably Mexico and the Central part as well probably has the strongest growth potential for us over the next couple of years.
Matthew Gretch: Ok. Great, thank you.
Operator: (Operator instructions) Your next question comes from a private investor, Donald Tolbert.
Donald Tolbert: Good morning.
Eric Wintemute: Good morning.
Donald Tolbert: How ya’ll doing?
Eric Wintemute: How are you?
Donald Tolbert: Pretty good, I’d like to congratulate you on the great quarter, and my question is how much of the growth in the third quarter would be contributed to international, and also going forward with a weak dollar how would this hit international growth?
Eric Wintemute: Good question. While Jim looks up the international piece, the weaker dollar, we are seeing, and as I mentioned specifically with China, where the currency swings, and India, it puts us in a position of our domestic manufacturing to be able to penetrate and participate in markets that maybe we haven’t in the past, which is why we think we’ve got better opportunities for our international business. So you’re correct, I don’t know, we haven’t quantified what that amount would be. We compete with European based companies and some of the international business for metam sodium, so that we see is potential growth for us as well. We have products such as DDVP that we do make down where you are; that we think has some international potential growth as we see prices of DDVP as they start to firm up in the international side. As far as our growth, you were asking third quarter, Jim what do you have?
Jim Barry: It’s in the neighborhood of 15 to 19% roughly. That’s the range. We don’t have all the percentages broken down.
Eric Wintemute: Certainly above our 11% overall.
Donald Tolbert: One last question, do you see a substantial growth in the domestic market going forward in 2008 or do you see more growth in the international market and if so which international markets do you see this growth in?
Eric Wintemute: We think there’s some very good growth opportunity domestically for us, again, if we’re hopeful that we hit the low level of the corn soil insecticides and we can reposition them so that’d be good growth for us. We think our corn herbicide still has a ways to go before we reach more optimal levels there. In the international side I think our biggest growth, my guess, is it will come from our Mexican and Central America over this next year.
Donald Tolbert: Thank you.
Eric Wintemute: Thanks.
Operator: There are no further questions; I will now turn the call back over to management.
Eric Wintemute: Ok. Again, on behalf of American Vanguard I’d like to thank each of you for listening and look forward to our next conference call and we will put out press releases on any exciting news that we have between now and then. Thank you and have a good day.
Operator: Ladies and Gentlemen, this concludes our conference for today. Thank you all for participating and have a nice day. All parties may now disconnect.